Operator: Good day, everyone, and welcome to Charles River Associates First Quarter 2024 Conference Call. Please note that today's call is being recorded. The company's earnings release and prepared remarks from CRA's Chief Financial Officer are posted on the Investor Relations section of CRA's website at crai.com. With us today are CRA's President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. 
 At this time, I'd like to turn the call over to Mr. Mahoney for opening remarks. Dan, please go ahead. 
Daniel Mahoney: Thank you, Rob, and good morning, everyone. Please note that the statements made during this conference call, including guidance on future revenue and non-GAAP EBITDA margin and any other statements concerning the future business, operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. 
 Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the level of demand for our services as a result of changes in general and industry-specific economic conditions. Additional information regarding these factors is included in today's release and in CRA's periodic reports, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. 
 CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today's release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant currency basis. 
 I will now turn it over to Paul for his report. Paul? 
Paul Maleh: Thanks, Dan, and good morning, everyone. Thank you for joining us today. Building on the momentum we gained at the end of last year, CRA carried its strong performance into the first quarter of fiscal 2024 and delivered record financial results. During the first quarter, revenue increased by 12.4% to $171.8 million, which represents the highest quarterly revenue in the company's history. Profits grew at an even faster rate with non-GAAP net income, earnings per diluted share and EBITDA increasing year-over-year by 48%, 52% and 34%, respectively. 
 Each profit metric also set a new quarterly record for CRA. Broad-based contributions drove this strong base -- drove this strong performance with 8 of 11 practices growing year-over-year. CRA's legal and regulatory services led the way with a 16% increase in revenue relative to the first quarter of fiscal 2023. For the company as a whole, we continue to replenish our sales pipeline. Our project lead flow increased in the third quarter by 3% year-over-year. This growth is in line with the broader legal market, which saw total case filings and total court judgments each increased 2% year-over-year. 
 CRA's conversion rates remain strong and consistent with historical norms with new project originations growing by more than 10% relative to the first quarter of 2023. During the first quarter, 6 practices posted double-digit revenue growth: Antitrust & Competition Economics; Energy; Financial Economics; Forensic Services; Labor & Employment; and Risk, Investigations & Analytics. I would now like to spend a few minutes highlighting some of the projects delivered by these practices during the first quarter. 
 Capitalizing on continued demand for antitrust services and ongoing merger-related activity, our Antitrust & Competition Economics practice established a new high for quarterly revenue. During the quarter, the practice continued to support clients on high-profile mergers. For example, CRA experts were retained by Cisco to provide economic analyses across worldwide jurisdictions in support of its $28 billion acquisition of Splunk, a leader in cybersecurity.  
 With CRA's assistance, Cisco received unconditional clearance from the European Commission, while the U.S. Department of Justice Antitrust Division declined to issue a second request. Elsewhere, CRA advised INEOS and its acquisition of certain assets of TotalEnergies. The CRA team conducted extensive economic analysis to assess the vertical effects of the transaction, focusing on the overlap between the target's upstream activities in the production of ethylene and INEOS' polyvinyl chloride business. Consistent with the results of CRA's analysis, the European Commission concluded the merged entity would have neither the ability nor the incentive to pursue any foreclosure strategy. 
 CRA's Antitrust & Competition Economics practice also continued to support clients in legal disputes. During the first quarter, CRA consultants prepared and delivered expert reports and testimony and antitrust class actions, international disputes and other matters arriving from competition claims. The matter span various industries, including technology, health care, retail and commercial goods, amongst others. In addition to client projects, CRA's competition team was recently recognized for its outstanding performance in support of the high-profile acquisition of Activision by Microsoft. 
 At the 2024 Global Competition Review awards in April, CRA was part of the winning team in the categories of overall Matter of the year. Matter of the Year in the United States and Matter of the Year in Europe. Additionally, Broadcom's acquisition of VMware, a transaction for which CRA advised VMware globally was named Matter of the Year in Asia Pacific. Last but not least, for an article that she co-authored on the topic of private equity investment and its effect on competition, Isabel Tecu, a principal in the practice won in the category of Best Business Article, General Economics, at the 2024 Antitrust Writing Awards hosted by Concurrences, an independent legal publisher dedicated to antitrust law and competition economics. Congratulations to Isabel and the entire Antitrust & Competition Economics practice for these well-earned accolades. 
 Turning to the Energy sector. In the first quarter, CRA's Energy practice had continued success with utilities, large energy consumers and government agencies. The utility work included developing integrated resource plans for companies like NIPSCO, the Northern Indiana Public Service Company and Alliant Energy as they continue their journey of transitioning away from fossil fuels. The practice also has been asked by multiple utility clients to evaluate reliability risk to avoid the types of rolling blackouts experienced during severe winter storms. The challenge of keeping the lights on is common in an industry that is facing significant load growth while at the same time retiring fossil plants and placing greater reliance on renewables. 
 Reacting to these industry changes -- challenges, the Energy practice has been supporting several large companies that develop, own and operate data centers around the world. As clients see rapidly growing demand for data processing services, they have turned to CRA for assistance with market modeling, energy procurement, rate design and utility negotiation. During the first quarter, experts in CRA's Financial Economics practice continued to assist multiple banks and their counsel and responding to regulatory inquiries on overdraft, nonsufficient funds and related fees charged on deposit account activity. Implementing these consumer remediations requires extensive analysis and reconstruction of account-level daily transaction history and a detailed understanding of the policies embedded in the bank's core processing systems. 
 Elsewhere, the practice prepared a range of fair lending analysis for a large national bank covering credit card, auto, mortgage and small business lending and advised the bank on the development of its internal fair lending compliance monitoring procedures. 
 CRA's Forensic Services practice continued to experience strong demand from clients who seek help preparing for, responding to and emerging from allegations of fraud and misconduct. For example, as 2 technology companies sought to resolve multiyear theft to trade secret litigation. Our digital forensic experts were retained to search for the defendant's computer systems in order to identify and purge any remaining files that had originated from the plaintiff's business. 
 Our forensic practice also continues to help companies respond to a broad range of cyber incidents. For example, we were retained by a national law firm to investigate suspicious activity involving its network. We determined that certain systems had indeed been accessed by a threat actor over a 3-week period and that certain files had been infiltrated. We undertook a thorough review of these files to identify what specific information was present and to whom it relates. Ultimately, we helped the law firm notify affected parties in a timely and compliant matter while assisting the client bolster its information security environment and reduce the risk of future cyber incidents. 
 CRA's Labor & Employment practice continues to assist clients in navigating critical employment issues. During the first quarter, [indiscernible] review cycle multiple clients, including businesses in the health care, telecommunications, information technology, pharmaceuticals and legal sectors engage CRA experts to assist in the proactive assessment of compensation and promotion decisions. In addition, during the first quarter, a team of CRA consultants assisted a building supply manufacturer examine the exposure associated with the miscalculation of the regular rate of pay for nonexempt employees as it considers a possible ownership change. 
 Also during the first quarter, the Risk, Investigations & Analytics Practice executed several large multidisciplinary investigative and expert assignments. The team was retained to investigate inconsistencies for a U.S.-based software company with respect to revenue and receivables reporting for certain divisions of its business. A team of forensic accountants, investigative staff and data analysts conducted employee interviews, performed investigative research into certain individuals and entities, collected relevant documents and analyzed relevant accounting and financial data to assess whether the revenue and related receivable transactions were recorded in accordance with relevant revenue recognition guidance. The team reported their results to the Board of Directors, external auditors and regulators. 
 Additionally, during the quarter, members of the practice, including a former federal prosecutor and risk and financial compliance specialists provided expert support to a banking institution and its external counsel related to accusations that the bank failed to perform adequate due diligence and transaction monitoring for corporate accounts used in a fraud. 
 Overall, I'm grateful to all of my colleagues for their hard work during the first quarter as we helped our clients address their most important challenges. We are encouraged by the strong start to the year, but are mindful of macroeconomic uncertainties that can affect our business. We are trending towards the top half of our revenue and profit ranges, but we'll wait for another quarter of performance before providing any updated thoughts on our full year guidance. As such, we are reaffirming our full year financial guidance. 
 With that, I'll turn the call over to Chad and then Dan for a few additional comments. Chad? 
Chad Holmes: Thanks, Paul. Hello, everyone. I want to update you on our capital deployment during the quarter. We concluded the quarter with $37.1 million of cash and $70 million of borrowings under our revolving credit facility, resulting in net debt of $32.9 million. The borrowings during the first quarter were primarily to fund bonus payments, which is consistent with our practice in prior years. 
 Bonuses will be paid largely by the end of the second quarter. In addition to the normal bonus cycle, the first quarter of 2024 also saw cash outlays for talent investments of $5.3 million and $700,000 on capital expenditures. We returned a total of $12.3 million to our shareholders during the first quarter, consisting of $3.1 million of dividend payments and $9.2 million for share repurchases of approximately 66,000 shares at an average price of $140 per share. We currently have $37.2 million available under our share repurchase program. 
 With that, I'll turn the call over to Dan for a few final comments. Dan? 
Daniel Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under Prepared CFO Remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the first quarter of fiscal 2024. In terms of consultant headcount, we ended the quarter at 997 consisting of 158 officers, 544 other senior staff and 295 junior staff. This represents a 2.6% increase compared with the 972 consultant headcount reported at the end of Q1 fiscal 2023.
 Non-GAAP selling, general and administrative expenses, excluding the 2.1% attributable to commissions to nonemployee experts was 15.6% of revenue for the first quarter of fiscal 2024 compared with 16.2% a year ago. This quarter's ratio was positively impacted by the growth in revenue and lower-than-expected nonreimbursed practice expenses. The effective tax rate for the first quarter of fiscal 2024 on a non-GAAP basis was 28% compared with 29% on a non-GAAP basis for the first quarter of fiscal 2023. 
 The lower rate in the first quarter of 2024 was largely attributable to higher profitability and a valuation allowance in the prior year that was subsequently released. Turning to the balance sheet. DSO at the end of the first quarter was 106 days compared with 105 days at the end of the fourth quarter of fiscal 2023. DSO in the first quarter consisted of 69 days of billed and 37 days of unbilled. 
 We concluded the first quarter of fiscal 2024 with $37.1 million in cash and cash equivalents and a further $175.5 million of available capacity on our line of credit for total liquidity of $212.6 million. That concludes our prepared remarks. We will now open the call for questions. Rob, please go ahead. 
Operator: [Operator Instructions] Our first question comes from Andrew Nicholas with William Blair. 
Andrew Nicholas: Really strong quarter. But I wanted to talk a little bit about guidance and kind of the decision to maintain it. You alluded to it a little bit, Paul, in your prepared remarks, but it would seem like maintaining it after such a strong quarter implies some kind of decel as we move through the year. How much of that is conservatism versus something that you're seeing in the market versus maybe some concerns about an impact from the upcoming election? Any other kind of thoughts on the cadence of growth as the year progresses would be helpful. 
Paul Maleh: Sure. Andrew, there's a number of factors that went into our decision to maintain guidance at this stage. One was the performance that we observed during fiscal 2023, which was a bit of a sawtooth pattern. And we felt that, that sawtooth pattern wasn't really related to any of CRA attributes, but more related to the broader market as a whole. We are excited that we have had 2 strong quarters that have been consistent with our expectations being Q4 fiscal 2023 and Q1 of fiscal 2024. 
 But those same kind of broader market uncertainties are prevalent in the market today. The same ones that we were experiencing in 2023 are still prevalent in the first half year of fiscal 2024. There is nothing that we have experienced internal to CRA. We haven't seen any kind of slide in demand, any kind of softening of our practices as we went through Q1. It's more just the broader uncertainty that we observe in the marketplace. 
Andrew Nicholas: Makes sense. I wanted to also ask about antitrust and maybe M&A-related antitrust specifically. I mean it sounds like things are going well in terms of large projects. But is there a sense within your organization that things are getting better on that side? It sounds like that's the case. And non-M&A remains really strong from what we can tell, but any kind of color on what you're seeing on the ground on the M&A side would be great. 
Paul Maleh: The Antitrust & Competition Economics practice had another excellent quarter. The majority of the growth during the quarter was driven by continued expansion of nonmerger antitrust-related services that we were providing. We are retained on a number of large, high-profile merger matters. But the number of those matters, we haven't seen any kind of discernible change than what we were experiencing throughout 2023. These are all guesses as to when that surge is coming in the broader market. But right now, it is still antitrust services that is driving a good portion of the practice. 
Operator: Our next question is from Marc Riddick with Sidoti & Company. 
Marc Riddick: So I wanted to start with -- given the strong start to the year, I was wondering if you could sort of bring us up to speed on what we're thinking about as far as adding talent and potential headcount additions for the year. As far as the -- I think finishing the year just below 1,000, so I was sort of curious as to sort of how those thoughts have evolved during the course of the strong start to the year or if that's changed from what you were thinking earlier? 
Paul Maleh: Sure. Strong start of the year or the strong ending to fiscal '23 and the strong start to the year, definitely help in our outlook, but I don't want to lose sight that we ended fiscal 2023 with an overall company utilization of 70%, which was significantly lower than our targeted range of mid-70s. So we are cautiously adding headcount to areas that can support the additional capacity. 
 So that targeting won't necessarily translate into overall headcount growth in the firm as we are trying to raise the utilization closer to our historical norms. But by no means am I starving the practices that are demonstrating strong performance right now. 
Marc Riddick: Excellent. And then you mentioned as far as the conversion rates are more consistent with the norms that you've seen versus where you were at the middle or late last year. Can you sort of talk about maybe sort of how that pacing kind of evolved through the first quarter and sort of whether it's a monthly [ talent thing ] or whatever? Or was it sort of consistent through the quarter? 
Paul Maleh: Sure. When we were looking back, I know I'm supposed to be talking about Q1 of fiscal '24. But the experiences that we had during 2023 definitely influence the way we look at our information. In fiscal 2023, the lead flow that was coming in was basically in line with our expectations, okay? So we're very happy with the success our consultants were having in the marketplace, getting calls on these opportunities. 
 What we were disappointed in was the conversion of those leads to revenue-generating projects. As I said during fiscal 2023, I did not believe that our failure to convert was indicative of us losing market share. And I've had now about 6 months of data from Q4, all the way through Q1 where my conversion -- my lead flow is still roughly about what we would expect, but the conversion rates over that 6 months has been one consistent with historical norms; and two, pretty consistent intra-quarter. So I'm not seeing huge swings of performance month to month during that period of time. So that's good news, and we just hope that those trends continue as we move through fiscal '24. 
Marc Riddick: Great. And then certainly, you've been mentioning as far as 8 of the 11 practices showing growth. And I was wondering, if you could talk a little bit about the demand drivers that you're seeing now, sort of how that plays into your views on visibility maybe relative to company norms. Historically, are the trends that you're seeing -- the things that are driving demand providing an average level of visibility, maybe a little bit more, a little less? How should we think about that? 
Paul Maleh: Yes. That's a little difficult question for me, right? And it goes into a bit of why I want another quarter of data before I provide any kind of update on my thoughts on annual guidance. What I'm observing inside of CRA is consistent with our expectations. I haven't seen any kind of deterioration of the demand drivers across our practices. There's always a bit of tightening of the belt maybe in some of the pharmaceutical companies, but that's really it in terms of things that are directly impacting CRA. 
 What we just can't lose sight of is everything else in the broader marketplace, from the geopolitical risks to the macroeconomic risks that are happening here in the states and not a lot of uncertainty has been resolved. So shifts in the broader market can, of course, impact CRA. I'm not seeing that impact to date, but we are just closely observing those drivers. 
Marc Riddick: Great. And then the last one for me. I just wanted to get maybe an update as to potential acquisition pipeline, maybe what you're seeing as far as the -- what may or may not be available out there? And how that's changed maybe during the course of the year if you're seeing a little better opportunities than maybe you were 3 or 6 months ago? And how you're feeling about the valuations that are out there as well. 
Paul Maleh: Sure. I'm going to let Chad Holmes address that question. I think he could give a little more color than I can. 
Chad Holmes: Marc, this is Chad. The answer to the question echoes some of our past calls. The flow of opportunities that we are seeing continues to be very, very healthy, built on a backdrop of our strong performance. That has been observed and recognized by some of our competitors and their practitioners who are thinking about making changes. CRA is seen as a very attractive destination for those top talent providers in our areas of expertise. 
 So we continue to see a consistent flow of high-quality individuals. It's, in some ways, not terribly different from what it was 6 or 12 months ago. We have been able to announce some hires in the talent acquisition department, but that has not depleted the pipeline. It continues to be replenished, and we are evaluating them. We're not dipping our standards. We're keeping them quite high, and we are pleased with what we are seeing. And hopefully, in the months ahead, we'll have more to announce . 
Operator: Our next question comes from Kevin Steinke with Barrington Research. 
Kevin Steinke: I wanted to ask about the higher-than-normal retention of the consultant base that you've discussed in the recent past. Is that continuing to be the case where you're seeing less turnover than historically? And if so, how does that factor into your hiring plans as you move throughout 2024. 
Paul Maleh: Sure. There's a couple of aspects to how I want to answer that. First, that attrition rates are approaching, what I would consider, more normal levels at CRA but still below. So we're still keeping more staff relative to normal attrition rates that we've experienced in the past where we are taking a bit more of a conservative approach on the labor market in terms of not hiring too far ahead of the anticipated needs right now, mainly because we're still having success in the latter university hiring market and in the secondary market for talent. We haven't experienced any squeeze where we are fearful of being left without top-level talent to deliver our services. 
Kevin Steinke: Okay. That's helpful. And circling back on the rebound and conversion rate you've seen here. Obviously, you said a lot of the uncertainties that existed before are still out there in terms of the macroeconomic picture. But I mean, any sense as to what you're hearing or seeing from your client base that there's just, obviously, it's indicated in the numbers, but there's more of an acceptance or comfort level with the current environment and that's leading to more clients moving forward kind of despite the macro environment, they've just become more comfortable with operating in this type of environment. 
Paul Maleh: I can't point to any kind of particular evidence that I can share that allows me to say clients have shifted their outlook and willingness to begin matters. And that's what's been so frustrating over the last 15 months or so is that there's a lot of things that are going exactly as planned. And when we are getting lower conversion rates, it's a bit of a surprise. So we're doing our best to try to make good economic decisions in an environment of what I still consider to be increased uncertainty, which just speaks even more to what my colleagues have delivered over the past 6 months here. It's really exceptional and so far, so good. 
Kevin Steinke: Okay. That makes sense. And congratulations on the very strong first quarter results here. 
Operator: We have reached the end of the question-and-answer session. I will now turn the conference back over to Mr. Maleh for any closing or additional remarks. 
Paul Maleh: Again, thanks to everyone for joining us today. We appreciate your time and interest in CRA. We'll be participating in meetings with investors in the coming months and look forward to updating you on our progress on our second quarter call. With that, that concludes today's call. Thank you. 
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.